René Goehrum: Hello, and welcome to the BioSyent, Inc. Q2 and First Half 2023 Results Presentation. My name is René Goehrum and I'm the President and CEO of the company.  I want to bring our attention to our disclaimer regarding forward-looking statements. And we'll dive into the presentation looking first at our sales results in the quarter. So this is for the period ending June 30, 2023 on a quarter basis and on a half basis. You can see our Canadian pharmaceutical business performed well at 23% growth, reaching just over $7.7 million. And on a six-month basis for the first half, up 12%.  The drivers of this performance could be characterized across the portfolio. We had a strong performance on FeraMAX at 25% up for the quarter Tibella at 49%, and Combogesic and RepaGyn showing slightly less growth. And then looking at those brands on a six-month basis you can see FeraMAX up 13%, Tibella up 44%. Some decline in the Combogesic business that was notable from the first quarter. Obviously we made up for some of that ground in the second quarter of the year.  We did not have any shipments of international pharmaceutical products to our international customers. I would point out though, not only did we not ship any in the quarter we haven't shipped any in the first half of the year. We do have customer orders and deposits on hand so we have over $900,000 in deposits. You'll see that on the balance sheet when you take a deeper look. We have multiple orders for shipping in Q3 and Q4 and basis deposits, orders will go as planned. And the net result will be that on a full year basis we expect the international pharmaceutical business to have grown by about -- well in excess of 50% by December 31 this year.  Our Legacy business is not performing as well as the pharmaceutical business. It of course is a much smaller portion of our overall sales. We were down both in the quarter and on a six month basis. So total company sales of just under $8 million. For the quarter was up 20% to the year ago and up 6% over a six month period of time. We obviously had some ground to make up and if we adjust for international orders that we now have -- what we have in hand actually inside the second quarter, but we won't be shipping until like Q3, if we make adjustment for that you can see the business is trending quite strongly.  Let's take a look now at our revenue, EBITDA and net income after tax performance and compare that over the last couple of years. You can see here the performance of the overall revenue for the company at just under $8 million represents 20% growth, as I've just mentioned on the previous slide. 23% pharma growth is the driver there. That's up significantly over the last couple of years.  We have been investing in launching products and preparing products for launch. I will spend some time on that in the next few minutes. But those investments and additional selling and marketing activities including some increased head counts and other pre-launch investments and now launch investments has resulted in EBITDA down or EBITDA ratio to sales down slightly from the year ago at 23% versus 25%. But you can see on absolute dollars, 10% growth in the quarter on EBITDA and 22% in net income after tax. Our NIAT margin relatively flat to the year ago period.  On a six month basis you see revenues of about $14.5 million. We have had a 20% increase in our selling and marketing spend for the half. That compares to about 25% increase in the quarter, second quarter. And that has had an impact overall on our profitability. We've launched FeraMAX 45, Inofolic and we have started promoting Gelclair, and some of those investments go back even to last year, and getting products ready to launch. And the most notable impact on our P&L is the fact that we had no sales of our international pharmaceutical products, and that profit contribution in the year ago period was quite significant.  So how that translate to earnings per share? You can see we earned $0.12 in the quarter, second quarter of '23 and that compares to $0.10 in the year ago and $0.10 in the prior quarter. And on a trailing 12-month basis ending June 30 that was $0.43 this year versus $0.50 in the four quarters prior to that. That $0.43 would have been in the range of about $0.36 if we had not been actively buying back shares over the last 4.5 years, so that's about a 19% improvement on an EPS basis.  And you'll also note that we have now delivered 52 consecutive profitable quarters to the company, and it's quite interesting if you take a look at the last 13 years. So that is when we first turned profitable. That's why we're looking at 13 years. Our first profit was earned in Q2 of 2010. At that time we had FeraMAX 150 and our Legacy product Protect-It. That was it. In the ensuing years we've obviously grown the business, grown revenue. We've diversified our portfolio.  You can see on the right hand side of your screen the brands that we now feature and are promoting. And then at the very bottom of the screen you can see our fully diluted shares outstanding back at June 30 of 2010 at 14.33 million. That number is now down to under 12.2 million shares. So we've grown the business, we have grown the pie. We are growing the slices of the pie, if that was defined by each share, and we certainly, I would say, have more growth prospects in our existing portfolio now in aggregate than we would have had at that period of time when we started our profitable run of 13 years.  A couple things to draw your attention to in terms of highlights for the quarter itself. FeraMAX brand was named the number one recommended iron supplement in Canada by pharmacists and physicians. We got Gelclair, an oncology supportive care product approved by Health Canada in the corridor. In June we paid our third consecutive quarterly dividend of $0.04 per share.  In the quarter we also announced that we had extended the Cathejell license and supply agreement. That's now kicked out to 2034. That's the second extension on that product. We first in-licensed it in 2009, launched it in 2012. So that product, though modest we've got a good share of market and it's been performing well and our partner is pleased with the performance. And we think it's a good contributor to our portfolio.  And also in the quarter we repurchased just under 174 000 shares under our NCIB. Subsequent to the end of the quarter we announced the promotional launch of Gelclair. We have launched in a folic. We announced that a couple of weeks back, a new product for polycystic ovary syndrome. I've got a couple more comments on that product in a couple of slides. And we've announced our fourth consecutive quarterly dividend of $0.04 to be paid September the 15. And then we've repurchased a further 80 000 shares since June 30 under our NCIB.  So as I mentioned FeraMAX was named the Number One recommended Iron Supplement in Canada by Pharmacists and Physicians. This is now eight consecutive years running, and is a result of our continued innovation and expansion of the FeraMAX product line and product performance and delivery and confidence that it gives both healthcare professionals and consumers and patients. So this forms the basis for continued promotion in the area.  We've reformulated the product, a short [ph] three years ago on October of 2020 based on the new patented delivery system of polydextrose iron complex. And that then provided the foundation for our life cycle strategy. So we reformulated the existing products and launched FeraMAX Pd Therapeutic 150 in November of 2020, a year later FeraMAX Powder 15, and then just this March we launched new FeraMAX 45. I have spoken about this. If you're new to the story I suggest you check out feramax.com, our product website or brand website, I should say where all of our products are featured. This product is designed to prevent iron deficiency and for consumers and patients to maintain healthy iron levels.  A couple of weeks back we announced the launch of new Inofolic a women's health product. This is a new treatment option for women with polycystic ovary syndrome which is an endocrine disorder which causes a number of health effects and symptoms including insulin resistance, infertility, menstrual dysfunction, skin issues, hirsutism and alopecia. Not all women experience all of these but they are problematic for those that do experience them. The number of women that have the syndrome is quite extensive. It's 1.4 million women, is estimated to have polycystic ovary syndrome, PCOS for short, which is probably how I'll describe it in the future to you.  Not all of these women have been diagnosed. So we're out now promoting this product. We have started shipping. I just wanted to remind you that this was launched in August and none of the revenue has yet come through into the ending June 30 results, other than the investments in pre-launch activity. Once again, same here I suggest you go to infolic.com and you can check out the product there.  We've also just announced that we started promotion of Gelclair, which is a new oncology supportive care product for relief of oral mucositis. So this is frequently experienced by cancer patients when they're undergoing radiation and chemotherapy. It's particularly common amongst those with head and neck cancer but other chemotherapies for other cancers also results in oral mucositis just in a lower percentage of patients.  It is very painful condition and results in patients sometimes discontinuing their cancer therapy. It is a concentrated gel which adheres to the mucosa of the mouth and it provides fast pain relief, the improved ability to eat drink, swallow and speak. So really a quality of life. And that is why some people discontinue their cancer therapy. It also interestingly reduces the need for analgesics and opiates. So that's a positive and -- viewed positively by healthcare professionals.  We have not started shipping yet. We will ship likely late in the year. It could go into the New Year, but we think it's highly probable we'll start making shipments by the end of this year on this product. And once again I invite you to go visit gelclair.ca and you can check out this product.  So we've updated our growth driver slide. I've been using this slide for some period of time as we've been adding products, as we go. You see here Inofolic and Gelclair featuring. We've got now three different products under the FeraMAX brand and we are working on and in development of a new FeraMAX product to address an unmet medical need. Our strategy here is clear. It's to better address the needs of patients, consumers, healthcare professionals and to provide a full suite of products, the net result of which would drive incremental revenue and profitability over time for the brand.  FeraMAX 45 had modest contribution in the second quarter. We launched it in the first. So it had modest contribution in the first quarter. More contribution in the second quarter. Over time we expect that to be a nice important product for us. It's been well received by healthcare professionals and we're starting to see some regularity of monthly revenues volumes on that product and it may be in the pharmacy near you that's got other FeraMAX products but over time you'll see it with distribution that will be similar to what you see for FeraMAX 150 and FeraMAX 15 in terms of availability in the pharmacy.  The other thing I'd like to point out is that of course we are continuing work on M&A, on acquisition of existing in-market products. We have not pulled the trigger on anything yet. We have worked on several opportunities just in the last 12 months, this year in fact. Just nothing that fits our criteria in terms of need and in the marketplace but a rate of return on capital deployed that would work for us. And we've got a number of in-licensing opportunities that are in the funnel now nothing obviously to report at this point in time but to when there is you will hear from us.  So let's take a look at how performance against our strategy and driving a profitable business is translating to the balance sheet. We've got cash on hand on June 30 of just under $28 million dollars. That is essentially flat from the year ago, up significantly from the 2021 period and let's take a look at what came in and where did it go. So we generated $5.4 million of cash from operations in a 12 months ending June 30. We deployed $3.4 million of that in to share buybacks and we've paid out dividends of $1.5 million. So we have a strong balance sheet, cash generating business.  We are investing in both growth and diversification of our portfolio as I've demonstrated with the additional products in the portfolio or committing capital to their introduction and growth in the marketplace. We have to build awareness and drive trial, confidence amongst healthcare professionals and the consumers on those products and we are doing just that. And we expect those profitable operations obviously to continue and then over time those investments and additional selling and marketing will certainly contribute to profitable growth.  In the interim you can see our return on equity is down from 21% in the year ago, 12 months ending to 16%. And that's simply a reflection of our increased investment in selling and marketing.  I like to generally address the questions that our shareholders have and those that are considering investing in BioSyent, the questions that they have about our capital allocation. We try to kind of simplify our approach and it's that we allocate the first dollar of capital to the two key pieces of our strategy which are to grow the business and diversify our product portfolio, as I mentioned just a moment ago and that is exactly what we're doing.  Our portfolio is growing and we are committing capital to growing introducing those products and growing their revenues. You'll see obviously our performance this year is reflecting that in terms of revenue growth. But we do have a strong balance sheet. We do not have any debt. The $28 million of cash we are looking to deploy in acquisition but we won't do it just so that we can reduce the amount of cash on the balance sheet. We're going to be as discerning as we have been.  We have seen more opportunities of late I would say in the over the last 12 to 15 months but nothing that we thought was going to work in terms of returns that we should be able to earn on that capital. So about 4.5 years ago we started buying back shares. If you're new to the story, for those of you that that have owned us going back that far, we started in December of 2018 buying back shares.  We've repurchased about 2.5 million shares under our NCIB about $16.5 million dollars. That has enhanced earnings on a per share basis over that period of time by 21%. That's simply taking our profit and dividing it into a across a lower number of shares outstanding on a fully diluted basis. We adopted a dividend policy. In October of last year we declared a first quarterly dividend in December of last year and have paid dividends in December, March and June and we've just declared a dividend to be paid on September 15. So when total paid and committed $2 million in the first four quarters of that of that program, so we're returning capital to shareholders both through dividends and share buybacks.  We're investing in growth and we're looking to in-license additional products and acquire products that are already in market and revenue generating where they make sense and where we can. So all of those pieces fit together. We've got a lot of exciting things happening in the business, and we continue to be excited about the growth prospects in the company.  I don't want to spend too much time on this other than to point out that we have not issued any new share options. Since March of 2019 we have gone to a use of restricted share units as a form of equity compensation for those that participate in that program. And we use our strong balance sheet and cash position to be in the market buying shares and holding them in treasury so that we can fulfill our obligation under those RSUs. So we are very non-dilutive approach, and as I say no watch [ph] your options issued now going back. It's four years.  So as I said there's many good things happening in our business. We're very excited about the future. We'll capitalize -- we've got growth assets in our customer facing people both in the sales force and our marketers are actively engaging with healthcare professionals, patients and consumers. We're very focused over the long term growing the business and providing a strong return.  Thank you for your interest in BioSyent and look forward to reporting our continued progress as the year moves on. Thanks.
Q - :